Operator: Good morning. Thank you for standing by. Welcome to Sylvamo Corporation’s fourth quarter 2025 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, you will have an opportunity to ask questions. To ask a question, please press star followed by the number 1 on your telephone keypad. To withdraw a question, press star 1 again. As a reminder, your conference is being recorded. I will now turn the call over to Hans Bjorkman, Vice President, Investor Relations. Hans, the floor is yours. Thanks, Kate.
Hans Bjorkman: Good morning, and thank you for joining our fourth quarter and full year 2025 earnings call. Our speakers this morning are John Sims, Chief Executive Officer, and Donald Devlin, Senior Vice President and Chief Financial Officer. Slides two and three contain important information, including certain legal disclaimers. For example, during the call, we will make forward-looking statements that are subject to risks and uncertainties. We will also present certain non-U.S. GAAP financial information. Reconciliations of those figures to U.S. GAAP financial measures are available in the appendix. Our website also contains copies of the earnings release as well as today’s presentation. With that, I would like to turn the call over to John. Thank you, Hans, and good morning, everyone.
John Sims: I am glad that you are joining our call. You referenced them on slide four. Before we begin discussing full year and quarterly results, I want to start by sharing with you my vision for Sylvamo Corporation, a vision that is fully embraced by our board and our leadership team. My vision is Sylvamo Corporation will be legendary. Yes, legendary. To be legendary is to defy expectations, create lasting value, and inspire others. And what will we be legendary for? We will be legendary for the way we relentlessly
Hans Bjorkman: pursue
John Sims: and achieve world-class excellence in all that we do. This will create substantial and lasting value for our employees, customers, and shareholders and will enable us to be the employer, supplier, and investment of choice. Let us move to slide five. We will strive to achieve world-class standards in the areas that define our success. These are safety and well-being. We will foster a resilient safety and well-being culture in which serious injuries are eliminated and every team member returns home safe every day. Employee engagement. We will be admired for cultivating a workplace where employees feel valued, empowered, and inspired. Inspirational leaders at every level of Sylvamo Corporation will unite their teams around our vision and amplify each individual employee’s talent by listening to them and engaging them to drive continuous improvement. We are passionate about making paper that educates, connects, and enriches lives, and we will set high standards to achieve world-class performance together. Customer centricity. We will set a new standard for customer experience and loyalty, striving to be truly outstanding. Our commitment is to deliver superior value and service to our customers, earning their trust and loyalty. This is critical to our strategy. Operational excellence. We will achieve best-in-class levels of efficiency, reliability, and performance in our mills and supply chain, ensuring that our operations consistently deliver to the highest standard. Cost leadership. We will attain industry-leading cost effectiveness through disciplined management and continuous improvement, strengthening our competitive position and ensuring sustainable results. Finally, sustainability. We will operate responsibly, protecting and enhancing forests, uplifting communities, and improving our planet’s future through sustainable practices. Let us go to slide six. As Sylvamo Corporation’s CEO, my commitment to you is to allocate capital wisely and to focus on long-term value creation. I will communicate transparently, providing context, rationale, and honest assessment of our decisions and performance while making disciplined data-driven decisions that position the company for sustainable success and strengthen Sylvamo Corporation for decades to come. We seek to attract and retain high-quality long-term shareowners who share our vision for disciplined capital allocation and sustainable value creation. In 2024, following extensive dialogue with our long-term shareowners, we discontinued providing full-year adjusted EBITDA and free cash flow guidance. That decision reflected our belief that long-term value creation is best supported by disciplined capital allocation rather than focusing on short-term earnings targets. After careful consideration, we decided to discontinue providing quarterly adjusted EBITDA outlook. We believe this change further aligns our external communications with how we manage the business and our goal to attract and retain high-quality long-term shareholders who share our vision of long-term value creation. And, Pauline, this decision does not represent a reduction in transparency. As you will see, we will provide a lot of detail throughout this call. We also will continue to provide selected financial metrics, as outlined on slide 25 in the appendix. Now let us discuss the full-year results. Turning to slide seven, you can see that in 2025, we generated 12% return on capital as we executed our strategy during challenging industry conditions. We maintained a very strong financial position and balance sheet, achieving a net debt to adjusted EBITDA of 1.6 times. We earned $448,000,000 in adjusted EBITDA, generated $44,000,000 in free cash flow, and returned $155,000,000 in cash to shareholders. We reinvested $224,000,000 across our manufacturing network and our Brazil forest lands to strengthen our low-cost position. We also accelerated development of high-return capital investment. We are committed to being the investment of choice and believe we can generate significant shareholder returns in the future by executing our strategy. Slide eight highlights our 2025 full-year key financial metrics. Our adjusted EBITDA was $448,000,000 with a 13% margin. We generated $44,000,000 of free cash flow, and our adjusted operating earnings were $3.54 per share.
Operator: Let us move to slide nine.
John Sims: Our fourth quarter highlights include commercial success, with our uncoated freesheet sales volume increasing quarter over quarter by 9%. Our operational teams also executed well and our paper machines’ productivity continued to improve. We took advantage of a planned maintenance outage at our Eastover mill to begin the upgrades to our paper machine project and significantly advance the work on our woodyard project. Let us move to the next slide. Slide 10 shows our fourth quarter key financial metrics. In the fourth quarter, we earned adjusted EBITDA of $125,000,000 with a margin of 14%, and free cash flow was $38,000,000. We generated adjusted operating earnings of $1.08 per share. I will now turn the call over to Donald Devlin to review our performance in more detail. Thank you, John, and good morning, everyone.
Donald Devlin: Slide 11 contains our fourth quarter earnings bridge
John Sims: versus the third quarter.
Donald Devlin: In the fourth quarter, we earned $125,000,000 of adjusted EBITDA compared to $151,000,000 in the prior quarter. Pricing/mix was unfavorable by $21,000,000, primarily due to mix across the regions, as well as lower paper prices in Europe and some of our Brazilian export markets. Volume increased by $18,000,000, largely due to Latin America and North America. Operations and other costs were unfavorable by $4,000,000, primarily due to seasonally higher costs in Europe. Planned maintenance outage costs were unfavorable by $17,000,000 as we executed an outage at our Eastover mill after having no planned outages in the prior quarter.
John Sims: Input and transportation costs were slightly unfavorable by $2,000,000. Let us move to slide 12.
Donald Devlin: The overall European industry supply and demand environment continues to be challenging. However, market conditions have started to show signs of improvement, as pulp prices began to rebound in the fourth quarter and the improvement continues into the first quarter. Our European cut-size paper prices exited 2025 €100 per ton below where we exited the year in 2024. We communicated paper price increases to our customers and expect the realization to begin in the second quarter. Wood costs in southern Sweden are starting to ease, although there is typically a three- to six-month lag before we see relief in our operations. In Latin America, demand is moving from the seasonally strongest fourth quarter to the seasonally weakest first quarter. This is also negatively impacting our geographic mix in the first quarter. We communicated paper price increases to our customers in Brazil and have started to see realization in January. We also communicated paper price increases to our export customers across other Latin American countries as well as the Middle East and Africa region, and are starting to see some realization in those regions in February. Turning to North America, industry operating rates are improving. After peaking in June, imports into North America have declined significantly throughout 2025. We communicated paper price increases to our customers and expect the realization to begin in the second quarter.
John Sims: 2026 will be a transition year for North America as we work through short-term capacity constraints
Donald Devlin: with the Riverdale supply agreement exits and the execution of the Eastover investments. The next few slides will provide the details and context for how this will impact this year’s financial results. Slide 13 shows our capital spending outlook, which is expected to be $245,000,000 in 2026 as we execute the majority of the $145,000,000 investments at our Eastover mill. We expect 2027 to return to prior levels as we wind down these strategic Eastover investments, and we are prioritizing strategic projects with the fastest payback so that 2027 and beyond reflects lower costs, higher efficiency, and stronger cash conversion potential. Let us go to slide 14. To provide an update on our Eastover investments, these high-return strategic projects will add 60,000 tons of uncoated freesheet, reduce costs, and improve our mix and efficiency. The paper machine optimization project is on schedule, with the bulk of the work to be completed in the fourth quarter during a 45-day planned maintenance outage. This outage is about 30 days longer than a typical maintenance outage. A brand-new state-of-the-art sheeter will replace an existing cut-size sheeter. It is also on schedule and will be installed at the same time as the paper machine optimization work. The woodyard modernization project is on track, and we will be ramping up a hardwood operation in the second quarter. We are planning to start up the softwood operation in 2027. Again, we are investing in high-return projects like these to generate future earnings and cash flows. On slide 15, let me walk you through how we see the North American sales volume bridging from 2025 to 2026. First, we expect to receive about 100,000 tons from Riverdale this year, which is 160,000 tons less than 2025. Second, the extended planned maintenance outage at Eastover will result in 30,000 fewer tons this year. To narrow this gap, we will be sourcing about 80,000 tons from our European operations. This will have a negative adjusted EBITDA impact to our European business of about $20,000,000 due to tariffs and freight costs. We expect to gain another 35,000 tons productivity year over year. We will also bring some additional external volume into our system to ensure we continue to serve our customers during this transition. The net difference is around 55,000 tons of lower sales volume in North America.
John Sims: With the majority occurring in the first quarter as we use our capacity to build inventory.
Donald Devlin: As a result, we will have an approximate $20,000,000 negative adjusted EBITDA impact in North America in the first quarter due to lower sales volume. On top of these items, we will have some additional impacts, which I will provide more detail on in the next slide, 16. We have a clear plan to meet our most valuable customer needs during this transition. We are building inventory ahead of the extended Eastover outage in the fourth quarter, importing from our European operations, and we will use external conversions to supplement our internal sheeting capacity. We will then draw down inventory as we move through the second half of the year, as the Riverdale supply agreement winds down
John Sims: and the strategic investments at Eastover are implemented in the fourth quarter.
Donald Devlin: In 2026, we will expect a negative $45,000,000 adjusted EBITDA impact in North America from the combined sourcing mix, external conversion, freight impacts, and one-time outage costs. Working capital timing over the course of the year nets to a negative $25,000,000 overall. It is related to inventory build and drawdown throughout the year and the settlement of our payable to International Paper for the Riverdale tons we buy. Let us go to slide 17 to pull all of this together. So here is a summary of the year-over-year adjusted EBITDA cash impacts that we expect to incur
John Sims: over the course of 2026.
Donald Devlin: North America adjusted EBITDA impacts will total approximately $65,000,000 across these three items: $20,000,000 from lower sales volume of 55,000 tons, $20,000,000 from external sourcing,
John Sims: conversion costs, and freight,
Donald Devlin: and $25,000,000 from Eastover one-time outage costs.
John Sims: Not related to this transition, but we also expect
Donald Devlin: a $10,000,000 charge in the first quarter from International Paper due to unusually high energy costs resulting from the recent cold weather that impacted the Riverdale mill. Europe adjusted EBITDA impacts will total approximately $20,000,000 due to U.S. tariffs and freight on the 80,000 tons we will be shipping to the U.S. From a free cash flow standpoint, in addition to the flow-through of these adjusted EBITDA impacts, we should expect a negative $25,000,000 impact related to working capital. In summary, 2026 is a transition year for North America, and the $85,000,000 of one-time costs will largely not repeat in 2027.
John Sims: You will also not have the one-time $10,000,000 charge
Donald Devlin: from Riverdale for the cold weather impacts that I mentioned. We are doing all of this in order to serve our valuable customers and be able to ramp up the Eastover volumes in 2027. After we gain the additional 60,000 tons of paper machine optimization project and 30,000 tons from the non-repeat of the extended outage, we will benefit from the additional tons from Eastover, the efficiency and flexibility and lower cost of the new sheeter, as well as low cost from Eastover. On slide 18,
John Sims: this illustrates our planned maintenance outage schedule for the full year
Donald Devlin: by region and by quarter. Unlike last year, when we had major planned maintenance outages in both mills in Europe, this year we only have a major outage at the Nymölla mill and it is in the fourth quarter. 2026 is also different than in the past few years where we had more than 80% of the total annual planned maintenance outage cost in the first half. This year, we have more than 50% of the total cost in the fourth quarter, as we complete the Eastover investment.
John Sims: Strive to create long-term shareholder value by executing our strategy and delivering on our investment thesis.
Donald Devlin: Keeping a strong financial position is the cornerstone of our capital allocation framework. This allows us to reinvest in our business, to strengthen our competitive advantages through the cycle and increase future earnings and cash flow.
John Sims: Since becoming an independent company just over four years ago,
Donald Devlin: we have earned $2,500,000,000 in adjusted EBITDA. We invested over $800,000,000 to strengthen our business, generated over $960,000,000 in free cash flow,
John Sims: reduced debt by more than $675,000,000, and returned over a half $1,000,000,000 of cash to shareowners.
Donald Devlin: I will now turn the call back to John on slide 20.
John Sims: Thank you, Don. Our flagship growth strategy remains unchanged. We will invest in low-risk, high-return projects to strengthen our uncoated freesheet capabilities and grow earnings and cash flow. This strategy is underpinned by three fundamental beliefs. The world will continue to rely on uncoated freesheet to communicate and entertain for years to come. Our North American and Latin American operations offer returns on smart investments in our assets and business processes that are well above cost of capital. Our competitive advantages—low-cost assets, iconic brands, strong customer relationships, global footprint, and talented teams—position us successfully to deliver on our strategy. Our capital allocation philosophy also remains unchanged. We will deploy every dollar with the goal of improving our competitive position and delivering the best possible shareowner returns every time. We will continue to maintain a strong balance sheet, reinvest in our business with discipline to strengthen operations and customer experience, and return cash to shareowners. Let us go to slide 21. As I stated in my CEO letter to shareowners a few weeks ago, 2025 and 2026 will be low points in our free cash flow generation as we weather the cyclical industry downturns, particularly in Europe, and complete investments at our Eastover mill. We are focused on our long-term value creation, which will generate strong and sustainable results by diligently executing our flagship growth strategy, adhering to our disciplined capital allocation principles, becoming more customer centric, institutionalizing lean management principles, and digitally transforming our business operations. As industry conditions turn, our capital spending normalizes, and benefits from our investments begin to materialize, we have the potential to generate annually greater than $300,000,000 of free cash flow and greater than 15% returns on invested capital. I will conclude on slide 22. We seek to attract and retain high-quality long-term shareholders who share our vision for disciplined capital allocation and sustainable value creation. We look forward to deepening our dialogue at Investor Day later this year, where we will share more details on our strategy, capital allocation priorities, and progress towards achieving our vision. I will now turn it over to Hans. Thank you, John, and thanks, Don.
Hans Bjorkman: Alright, Kate. We are ready to take questions.
Operator: If you would like to ask a question, please press star then the number 1 on your telephone keypad. To withdraw a question, press star 1 again. Thank you. Our first question is from Daniel Harriman with Sidoti. Your line is open.
Daniel Harriman: Hey, guys. Good morning. Thank you so much for taking my questions. I will start with two regarding operations in Europe, and then I will get back into the queue. But first, you called out wood costs in Sweden,
John Sims: then I was hoping you could update us on your efforts to improve mix and win new customers in the region. I believe you called out a few of those items on the third quarter call. And then similarly, with cut-size pricing down in the region versus the prior year, when we think about potential margin improvement in Europe, in fiscal 2026 and into 2027, how dependent is that improvement on price realization versus some of the internal levers you can pull?
John Sims: Hey, Daniel. Thanks for your question. It is John Sims. In terms of the efforts around improving mix, one key driver to that was an investment we made at the Säffle mill, which was successfully started up and implemented in the last part of the fourth quarter. And I can tell you that what that does is it drives us, allows us to produce and sell more roll business into the converting markets versus commodity cut-size out of the Säffle mill. And I can tell you that our order books are full in terms of that segment, and so we are executing well against our plan to improve the mix at our Säffle mill. In terms of pricing, it has been a very tough market in Europe. It has been a long, probably one of the longest downturns that we have seen. Margins are very compressed. We have been significantly working to reduce costs at all our facilities, focusing on fixed costs at our Säffle mill and improving operational performance at our Nymölla mill. We exceeded our targets last year. We are going well with that. We have got additional plans. However, we do need the market to improve, and we are seeing that. So we talked about it. Pulp prices are going up in Europe. We have announced price increases to our customers in Europe as well as the export markets that we serve out of Europe. Those prices will be—we will start to realize that, though, in the second quarter. We will not see that in the first quarter, and that is going to be important to the margin improvement in Europe. We need to have prices go up. Current margins just are not sustainable at the current level.
Daniel Harriman: Great. Thanks so much, John.
Operator: Our next question is from George Staphos with Bank of America.
John Sims: Hi.
Donald Devlin: Thanks for taking my question. Good morning, everybody. Appreciate the details. My two questions, and I will go back in queue, are a little bit longer term to start.
George Staphos: John, we appreciate the review of your vision.
Donald Devlin: And your shareholder letter. There is a lot of focus on capital allocation and returns and in some ways, defending what the company has been doing.
John Sims: And that is all well and good. Just if you could tell us, have you been getting more investor questions on that topic in the last
Donald Devlin: couple of quarters that prompted the discussion from you on your capital allocation? What is your discussion with investors, to the extent that you can comment, regarding that topic? Second point, as you think about Europe,
John Sims: how do you see Nymölla fitting? It is easy to get
Donald Devlin: down on a business at the trough. Right? And your
George Staphos: charge
Donald Devlin: as leaders is to see and look longer term. And we get that. How does Nymölla fit? Säffle looks like it is doing great. Nymölla probably has been a bit disappointing. How do you see that fitting along the long-term picture for Sylvamo Corporation? Thank you.
John Sims: Yeah. Good morning, George, and thanks for those questions. I think when it comes to the capital allocation question that you are asking, it is really the questions that we have gotten from investors. We have not gotten many questions. We have gotten a lot of support in terms of alignment and agreement with our capital allocation priorities. I think one of the things that I have been focusing on as the new CEO is to reassure with investors what is going to change and what is not going to change going forward. And one of the things that we are stressing is we are not changing our strategy. We are going to be focused on our uncoated freesheet, nor will we be changing our capital allocation strategy. The priorities will be maintaining a strong balance sheet, reinvesting back in the business where it makes sense that we can generate high returns, and then returning cash to shareowners. And so just reaffirming that. I mean, I will take an opportunity. What is going to change, I think, is really we are going to transform the business. We are going to go through a lean transformation. Why? Because we want to focus on becoming much more customer centric with that, and we want to be able to drive continuous improvement, accelerate it, and reduce our cost, meeting customer needs while eliminating all waste. So we are going to be going through that transformation, if you will. We are going to be leading that off in Latin America, and then we will be driving that across all the businesses. Your next question, George, is around Nymölla and how that fits. You know, Europe has always been a bet on the future in terms of business. The market has been very difficult. We talked about it. The down cycle has been longer and deeper than what we expected. The other thing with Nymölla is the wood cost, which has made it much more challenging. The wood cost increased significantly more than what we expected going in there. That is turning, finally. We are starting to see some reductions in the wood cost, which Don mentioned. Now, it takes about three to six months for us to start to see that, and we will start to get the impact of that more toward the second quarter of the year. But as we look at Nymölla’s fit for us
George Staphos: is
John Sims: has always been a good fit for us because, number one, it is solely focused on uncoated freesheet. The cost position is good if the wood cost can get back down to where it needs to be, not where it is at right now. So the other thing is the mix for Nymölla
Donald Devlin: is very attractive because it
John Sims: serves both the cut-size as well as the printing communication. So it has the capability to serve both of those markets, which was a good fit and also very synergistic for us. But as we said, you know, as I said, we are evaluating everything we can do in terms of around Europe to improve our performance there. We talked about that, I think, on the last call. We believe we have the right strategies for both facilities.
George Staphos: We believe that we have made a management change there.
John Sims: We have got the right leadership. We have got very talented teams. We have got a really good focus on trying to improve those businesses. We are looking at all options, if you will, as we try to focus on improving our businesses in Europe.
Donald Devlin: Hey, John. Just a quickie, and I will turn it over. Related to wood cost, I would not expect it would be the case, but is there any sense to maybe looking at purchased pulp
John Sims: and taking the, you know, the
Donald Devlin: the pulp line offline per period? Or not? Thanks. I will turn it over.
John Sims: Yeah, George. I mean, yes, we are looking at all options, whether that makes sense or not. And does it currently? We are still evaluating that.
Donald Devlin: Okay. Interesting. Alright. Thank you.
Operator: Before going to the next question, again, if you would like to ask questions, please press star then the number 1 on your telephone keypad. To withdraw a question, press star 1 again. Our next question is for Matthew McKellar with RBC Capital Markets. Your line is open.
Matthew McKellar: Good morning. Thanks for taking my questions. I would like to just follow up on George’s last question about fiber costs. Kind of a related question. I think Lenzing wants to scale up production at the TreeToTextile facility at Nymölla. Will that have any direct or indirect impacts to your operations and cost there? Any kind of read-through to fiber costs kind of over the longer term? Appreciate some perspective there.
Donald Devlin: Thank you. Yeah. Matthew, thank you. This is Don. So
Hans Bjorkman: that will not have an impact on our fiber cost there for Nymölla. That project.
John Sims: Great. That is straightforward. Thank you.
Matthew McKellar: And just shifting over to the shareowners’ letter and some of the messages today, John, you are talking about lean management, digital transformation. Could you help us get a sense of the size of the opportunity you are thinking about here either in terms of profits or capital efficiency, and how that interacts with the digital—what kind of investments are
John Sims: required to advance to the state you envision,
Matthew McKellar: I think there is a comment that you are kicking off some of these initiatives in Latin America. Are you able to help us understand why that region is where you are focused first? Thanks.
John Sims: Yeah. No. First, when it comes to the lean transformation, it is really driving an employee-driven continuous improvement. And we want to double in terms of the improvement that we have been getting across our facilities in terms of cost but also in terms of satisfying our customers’ needs. And, really, part of our strategy and key to our strategy is increasing customer loyalty in all our regions. And we need to become more flexible to meet our customers’ needs. We need to reduce lead times. We need to increase our perfect order in terms of delivering to them. And so, yes, it is hard to quantify right now in terms of absolute dollars what we believe and expect, but the expectation is high. We are raising the bar in terms of our improvement initiatives. And we believe that Lean principles will be a key driver of that. And, you know, I just had a discussion with the Latin America team about them leading this effort for us and why we are starting with Latin America as leading, and because we think they will have the greatest success. We will have the greatest success in launching this with them. Why do we do that? Because we believe that if you look at the past performance of our Latin American team, a lot of it has been driven by using the Lean tools, if you will, and where we want to get in terms of world-class performance in our operations and servicing our customers. They have been there. We want them to get there again, and they can pave the way for Sylvamo Corporation. Great. Thanks for that detail.
Matthew McKellar: And then last one for me, I will turn it over. I am a bit surprised to see you paused share repurchase in the quarter. Apologies if I missed something in your opening remarks. Is there anything keeping you out of the market? I think you mentioned some interaction with a significant shareholder. Please correct me if I have captured that incorrectly. Or is that maybe in recognition of just a heavier CapEx year in 2026? Thanks.
Donald Devlin: Yes, Matthew, good question. So when we think about capital allocation, we also have to consider the cash flows that we expect. And so as we look into
John Sims: 2026, the plans we have, the capital intensity plus the inventory build that I discussed earlier and the cash required for that. We thought it was prudent not to make share repurchases in the quarter.
Donald Devlin: And
John Sims: Okay. Think about what
Donald Devlin: Okay. Yeah. Matthew, when you think about what we did in the year, between dividends and share repurchases, it was $155,000,000 in 2025. So it was
George Staphos: 350% of our free cash flow for the year. So we felt like we were sufficient in the year
Donald Devlin: and, thinking forward, we are prudently managing cash.
John Sims: Thanks very much. I will turn it back.
Operator: Before going to the next question, if you would like to ask questions, please press star then the number 1 on your telephone keypad. To withdraw a question, press star 1 again. Thank you. Our next question is from George Staphos with Bank of America. Your line is open.
John Sims: Thanks for taking my follow-ons.
Donald Devlin: I will ask three questions and turn it over. So
John Sims: John, Don, the $10,000,000 additional
George Staphos: I assume that is in addition to the $85,000,000 net negative from the footprint realignment, if you will,
Donald Devlin: for 2026. So in reality, it is a—I realize it goes away, but it is a $95,000,000 negative. Would that be correct?
George Staphos: Number one. Number two,
John Sims: companies do
Donald Devlin: analyst days, investor days, when they have something to share that is above and beyond what you have talked about over the course of quarters. And, you know, actually, credit to you, you have done a lot over the last couple of quarters. You talked about your vision, talked about your capital allocation, talked about the projects that are coming. So what are you hoping to convey that has not already been conveyed in your last couple of quarters in an analyst day that will come up in 2026? Lastly,
John Sims: we appreciate the detail on the effect of outages on Riverdale,
Donald Devlin: on Eastover, etcetera, and the impact that is having on costs and also on working capital,
George Staphos: yet
Donald Devlin: I am curious why you think
John Sims: providing guidance, even quarterly guidance,
Donald Devlin: encourages more of a short-term nature?
George Staphos: You know, speaking for
Donald Devlin: analysts, investors on this call, we ultimately come up with our own forecast. We appreciate the detail. We would like to know what is in the assumptions. And I am just curious why you view
George Staphos: providing no guidance
Donald Devlin: as a benefit to longer-term investors and analysts as opposed to providing the guidance. Thank you. Good luck in the quarter. So, John, I will take the—George, thank you for the questions. I will take
John Sims: the first one.
Donald Devlin: There on the $10,000,000. So, yeah, that was related to Riverdale and it is in addition to the $85,000,000.
John Sims: So you are correct. It is $95,000,000.
Donald Devlin: And it is one-time cold weather. The gas prices spiked and, you know, so you are basically thinking peak prices and with very short-term notice.
John Sims: So that was our portion of
Donald Devlin: the cost associated with Riverdale, and it would be a non-repeat. And relative to Investor Day, I will start, and then John, of course, add in. As you think about Investor Day and what we want to share, if you think about John’s vision and our road back to $300,000,000 in cash flow and 15% return on invested capital, we are going to share the path to get there. Right? We will share the things that we are going to do, you know, across our business for lean, the things we are going to do digital
John Sims: and the things we are going to do for customers to drive value
Daniel Harriman: in operations. And I think that is above and beyond, especially considering where we are today. John, would you add? Yeah.
John Sims: Just to add to that, you know, we really have not had an Investor Day since we spun from International Paper, which is a long time ago now. But we felt, with the transition to me as the new CEO, it is very appropriate to be able to come out and have meetings with investors where we can talk about, as Don said, what is our strategy. I think it is pretty clear. We said we have not changed it, but now how do we execute by region, and what are these initiatives that we are just talking about in terms of lean, digital transformation, and other efforts that we believe support and execute our strategy to grow earnings and cash flow. So that is the reason we are going to do that. And then, you know, finally, back to your question around dropping the quarterly guidance. I think it really still goes back to why we even dropped the full-year guidance. We are going to continue to provide a lot of detail like we did even in this call. But we believe that we manage the business on a long-term basis. That is how we focus, not on a quarterly basis. Of course, we are measuring and following our results daily in terms of how we are tracking against our longer-term plans, but our belief is that this aligns more with what we are seeking, which is quality long-term shareholders who share our vision for long-term value creation.
Donald Devlin: Hey, John. I take the answers, and ultimately, you know, it is up to you to run the company as you and the board see fit. But running a company on a long-term basis and providing guidance, frankly, are two separate
George Staphos: topics.
Donald Devlin: And, you know, again, respectfully,
George Staphos: you should trust that the investor and analyst take your assumptions and your guidance, and then we come up with our own forecast. So I do not think one means you run the company any
Daniel Harriman: differently than you would have otherwise. For what it is worth. But we appreciate the time. We appreciate the detail. Just want to make that comment. And we will let you go. Good luck in the quarter.
John Sims: Appreciate your comment. Thank you, George.
Operator: I will now turn the call back over to Hans Bjorkman for closing comments.
Hans Bjorkman: Alright, John. A lot we covered. I will give you one more shot to close up and wrap up the day.
John Sims: Thank you. And I thank again everybody for joining this call. I think 2026 is going to be an exciting year for us. We will be executing our most significant investment in our Eastover mill that will drive a lot of value in the years to come. We are also beginning our lean transformation, focusing on exceeding our customers’ expectations and driving improvement across our operations, as well as making significant progress on our digital transformation. As I said, we are focused on long-term value creation and will generate strong and sustainable results by diligently executing our flagship growth strategy and adhering to disciplined capital allocation principles. As industry conditions turn, and they are, our capital spending normalizes and the benefits from our investments begin to materialize. We have the potential to generate annually greater than $300,000,000 of free cash flow and greater than 15% return on invested
Daniel Harriman: capital.
John Sims: Thank you again for joining the call.
Hans Bjorkman: Thanks, everybody. We appreciate your interest, and we look forward to the continued dialogues over coming weeks and months. Have a great day.
Operator: Once again, we would like to thank you for participating in Sylvamo Corporation’s fourth quarter 2025 earnings call. You may now disconnect.